Operator: Welcome to the Trelleborg Q4 2025 Report Presentation. [Operator Instructions] Now I will hand the conference over to CEO, Peter Nilsson; and CFO, Fredrik Nilsson. Please go ahead.
Peter Nilsson: Thank you. Welcome to all of you to our, let's say, Q4 call of 2025. Peter Nilsson speaking and joined on the call also by Fredrik Nilsson, our CFO; and also supporting us here in the call is also Christofer Sjogren, our Head of Investor Relations. And as usual, we're going to use the slide deck, which has been on our webpage for some time now for some hours, and use this as guiding us through. And as usual, I'll kick off by some overall comments and commenting for our business areas and business sustainability before turning over to Fredrik to guide us through the figures and then summing up with a summary and then ending up with the Q&A session. So once again, back to the slide deck, turning to Page 2, the agenda, highlights, starting in the business areas, financials, summary outlook and Q&A. Quickly turning to Page 3. We see, let's say, we say continued margin improvement in the quarter. And we can say the quarter overall is actually somewhat better than it looks when you're looking at the figures, and I'll get back to that and commenting on that as we move along. Sales in the quarter, slim organic sales growth, slightly shy of our expectations, but it doesn't really mean that the business actually was worse. It's actually a slide in a few project deliveries in Industrial Solutions, which is pushing down the organic sales somewhat, but that's going to come back. I'm going to comment on that later as well. M&A adding 3%. And then, of course, like most companies reporting in Swedish krona, so a fairly heavy wind against us then from currency, which is pushing down the reported sales in Swedish krona by 9%. EBITA, well managed. We are delivering a record high margin in the quarter, 18.4%, which is best ever for us for Q4. Let's say, a result of good control, let's say, a good mix and yes good overall cost control and good overall price control. So we're fairly happy with the margin in the quarter. Also here, of course, we will have, let's say, substantial currency translation effect of minus SEK 140 million, which fully explains the -- let's say, absolute figure deviation compared to a year ago. We have items affecting comparability, SEK 176 million higher than last year, but in line with guidance. Cash flow, very strong, strong ending of the quarter in terms of cash, which we also see as a quality item for overall. We managed the cash good, I mean, which is both in terms of CapEx, working capital, so good delivery of cash, which, of course, is something we are happy with. Share buybacks continue same pace as before, roughly SEK 0.5 billion a quarter. And on top of that, the Board is also proposing an increase of the dividend from SEK 7.50 to SEK 8, which then going to be confirmed at the upcoming AGM in April. And you also note the acquisition here happening just after the ending of Q4. We're buying a smaller but important business for us in Austria, which is focusing actually to improve our efficiency and technology in manufacturing more than adding kind of, yes, external sales, but that is also something we're going to create some foundation for improved efficiency as we move along both in Sealing Solutions as well as in Medical Solutions. So this is, let's say, the overall headline. So turning to the page. Next page, Page 4, commenting organic sales. And here is the one that actually looks -- it is slightly better than it looks. I mean, Europe continuing. I mean we've seen, let's say, improvement in organic sales throughout the year, starting with a fairly solid minus in Q1 and then step-by-step in moving. And then we are up to plus 4% organically in Europe in the quarter. Americas continuing in a good way in a way and a solid positive. And then we have Asia and Rest of the World turning negative. But I mean, the explanation is here, which is linked also to Industrial Solutions is actually a result of lower project deliveries in a few countries here, if I may say, some odd countries like Taiwan, Malaysia, with Australia orders, Morocco, which is pushing it down, while we continue to deliver a solid organic positive growth in the main markets, China and India. So overall, it's actually a better development than the, let's say, reported figure here, minus 4% shows. Turning to next page, back to the agenda. And quickly turning to Page 6 and commenting on the business areas. Industrial Solutions, I've already been touching on that for a few times here, lower project sales, and that is not really a result of lower order intake. I mean, we have a good order intake. We continue to build the order book, but there's been a few bigger projects which has been delayed. And it's not really delayed causing by problems. It's more that some of these projects related to LNG and temporary also to construction tunnel seals and stuff like that, the projects has been a bit delayed. It's actually full in the pipeline there and order books for us and for the market is good. But nevertheless, in the quarter, we impacted. And we already commented on that. We do not expect that to really bounce back already in Q1. We will see in Q4 and on -- Q2 next year and onwards what we're going to see. So we are not concerned about the full year of '26, but it will be a little bit soft ending, a little bit soft start of '26. But overall, once again, I want to say on this lower project deliveries is actually deliveries. It's not order intake. Order intake is still strong, and we continue to build order book in this segment. Continuing to see in varying sales what we call diversified industrials, we're exposed to variety of segments here and also within construction, we see kind of the more, say, window related, if I may say, windows and facade sales, which is still a little bit depressed, while other segments in construction like water infrastructure is actually performing better. So there is, let's say, a mix within this. But overall, once again, positive actually in this area and all of the business area is being pulled down by this kind of lower sales, lower deliveries in the quarter related to the project-related part of the business area. Automotive stable, good performance, small aerospace sales in Industrial Solutions, but that's developing nicely in the quarter. And we see actually a smaller decrease in EBITA, which is fully -- let's say, explained by negative currency translation rate effects because overall, the margin is improving. We continue to invest in structural improvement here. We get the more efficiency in the structure. And then we have a slight, let's say, sales mix negative here well -- sorry, sales mix positive in the quarter, which is also pushing it up a little bit. But overall, better than it looks, that is kind of the overall message that we want to send in relation to Industrial Solutions. We also note in Industrial Solutions, there's also been quite a lot of acquisitions throughout the year, and they are being integrated in a successful way, and we see kind of also improvements as these businesses are getting even more, let's say, included in our daily operations. So moving then to the next page, Page 7. Comments on Medical Solutions, organic sales growth margins up. And if you say a slight negative, let's say, development within these -- within Industrial Solutions, we say Medical was slightly better than we expected by some extra orders in the quarter from some of our key customers, which then pushed organic sales up to plus 5%. Solid sales growth in Europe and Asia, while North America still, we think we call it sluggish, which is still a little bit up and down. It is a little bit volatile, more volatile than we kind of should be. Our customers a little bit ordering in, let's say, uneven way. So this is something that we continue to monitor overall, still positive in medtech, but once again, good development in Europe, while still North America can be improved. Life science, although small in the business area, but continue to deliver strong growth and continue to look very positive. And also here, we have EBITA down, but also fully explained by the exchange rate effect. As you see, the margin is actually up year-on-year, supported then by these higher volumes, but also in this area, we are initiating some efficiency improvements. We have some restructuring within the business area, which is going to improve the overall efficiency, and we see the first improvements in this quarter. We also note with it, let's say, with a great satisfaction that we now have a factory in Costa Rica up and running, although at very small volumes to start with, but that is kind of offering new opportunities for us to both on the local market in Costa Rica, but also as a very efficient facility able to support our overall business in North America. So overall, good development in Medical Solutions and we're definitely moving in the right direction. Then turning to Page 8. Sealing Solutions, solid organic growth. We see an improvement that we see here. And we have, say, also, even though we have a -- let's say, solid organic improvement, we continue to build the order book. We continue to see a good demand going forward. And also here, adding M&A to improve it -- improve sales even further. And we see that actually industrial segments all over the world is improving. Automotive segment is down, mainly in Europe and somewhat we call sluggish here as well. So sometimes varying also in other areas and especially we are continue to be hurt a little bit in the aftermarket of automotive, where we have this as a brake-related businesses, which is still challenged a little bit, and that is where we are also, which is driving a little bit negative mix actually if you look at the overall and which explains a little bit why we are not getting kind of the add-ons here by the higher volumes to push up the margin. Aerospace continued to develop very well. Good order intake, order intake well above sales and continue to build a good order book. Also here, of course, the let's say, the supply chain is fully loaded. And I mean, although the ambitions for Boeing and Airbus is high, we don't expect them really to deliver as they are guiding. But nevertheless, we continue to see a very good development within Aerospace. EBITA, a little bit up, margin a little bit up. And then also here, we have also, of course, like every else, a substantial negative, let's say, currency impact. And we also note, I mean, we are, of course, as you know, aiming for an improvement here in the margin, and we are very certain that it's going to happen. But in this quarter, we are slightly hurt with these acquired businesses also here, which is coming in with a slightly lower margin. And also, as I already mentioned, a slight thin, let's say, also sales mix negative effect on the margin. So overall, good development and Sealing Solutions moving in the right direction and the markets are kind of supporting us going forward here as well. Turning to Page 9. A few comments on sustainability. We continue to improve, and we're getting to a level where, yes, almost as far as we can go on this. We've done a good job in this in many -- for many years, continue to improve year-on-year, 28% down in CO2. And looking at the next page, where we talk -- also share of renewable and fossil-free electricity, we're actually approaching 100% here, up at 98%. And I mean, as you know, you cannot really improve a lot from this level. So this is more a challenge to maintain on this level. So good development in CO2 and good development in renewable and fossil-free electricity, which we are very satisfied with. So with that, turning to Page 8, agenda and then turning over to Fredrik on the financials. Turning to Page 12, I guess, Fredrik, and then your turn.
Fredrik Nilsson: Thank you so much, Peter. Let's start looking into the sales developments. Reported net sales decreased by 5% and amounted to SEK 8,380 million in the quarter. We have negative translation effects by 9% in the quarter. As Peter mentioned, we had an organic sales growth of 1%. And then we saw both Sealing Solutions and Medical Solutions growing 5% organically, while Industrial Solutions decreased by 3%. Structural changes added 3% growth of sales in the quarter. Moving on to Page 13, showing a more historical sales growth over some quarters. And if you look at the fourth quarter, we achieved 4% sales growth at constant FX. Moving on to Page 14, showing the quarter sales and the rolling 12 months. Looking for the full year of 2025, we have sales amounting to SEK 34.7 billion, which was flat versus last year. Looking for the full year, we have an organic sales growth of 1%. Structural changes added 5%, which was then offset by negative translation effects of 6%. Moving on to Page 15, looking at the EBITA and looking at EBITA, excluding items affecting comparability, down 3% to SEK 1.542 billion. In the quarter, we have SEK 140 million in negative translation effects. So if we look at EBITA at fixed FX, it was up 6%. And then on the margin side, up from 18.1% to 18.4%, and that was the highest margin for fourth quarter. Moving on to Page 16. Looking at the full year, we saw an increase by 2% and got an EBITA for the full year of SEK 6,286 million. And here, we also have a substantial negative FX impact of SEK 329 million for the full year. And looking at the margin for the full year of 2025, we have 18.3%, which was the highest to-date for a full year. Moving on to Page 17, looking at some details into the income statement. We have items affecting comparability, minus SEK 176 million in the quarter. Then we have SEK 222 million that were relating to restructuring. And then we have a positive effect of SEK 46 million, which was revaluation of an additional purchase payment recorded earlier as a liability. Financial net minus SEK 111 million in the quarter, slightly higher than last year, but that is mainly due to a higher debt compared to Q4 last year. Tax rate for the quarter, 25%, well in line with communicated guidance for the full year. Moving on then to earnings per share. On Page 18, if we look at earnings per share, excluding items affecting comparability, up from SEK 4.24 to SEK 4.30, increased by 1%, and that is mainly due to higher profitability and the effect of the ongoing share buyback, which then has been offset by negative translation effects. If we look at fixed FX, earnings per share has been up 10%. Moving on to Page 19. Looking at the cash flow. As Peter also mentioned, we had a really good cash flow in the fourth quarter, up 3%, giving us a cash flow of SEK 1.726 billion. And to summarize it on a high level, we have a little bit lower capital expenditure that had a positive impact, and we continued also to generate a positive working capital movement in the quarter. Page 20, cash conversion, up from 89% to 93% on a rolling 12-month basis. And in other words, we continue to deliver a high cash conversion ratio despite that we have invested on a high level through the year. Moving then on to the gearing and leverage development. We ended the quarter with a net debt of SEK 7.216 billion. We have done share buyback of SEK 508 million during the quarter. And looking at the debt-to-equity ratio, ended the year at 20% and our net debt in relation to EBITDA was 1. In other words, our balance sheet remains very strong. Moving on to Page 22, looking at the return on capital employed, excluding items affecting comparability, 12.1% for the fourth quarter. And here, you can actually see that we are now having a couple of quarters with a sequential improvement from Q2 to Q3 and now also from Q3 to Q4. And then looking into 2026, some guidance for 2026. CapEx, SEK 1.450 billion for the full year. Restructuring cost expectation is SEK 375 million for the full year, amortization of intangibles, SEK 650 million and underlying tax rate, 25%. And by that, I would like to hand back the microphone to Peter.
Peter Nilsson: Great. Next Page 24, then agenda, summary and outlook and quickly then to Page 27. A quarter organic growth still, although slim, but where we've been able to good cost control and good sales, focus deliver a higher margin. And we actually see in the quarter, what I started with, it's basically underlying slightly better than maybe the report looks from the first view on it, where we see an improved demand in the quarter. We see that especially TSS and TMS and Medical and Sealing is delivering good organic growth in the quarter, and we also with a good order intake. And also actually within Industrial Solutions, we also have a good order intake. But they have been impacted, what I said, let's say, lower project deliveries in the quarter. We have some odd projects last year, same quarter, which we didn't have this quarter. We have once again a good order book, and we see we are not kind of concerned about the full year of '26, but it will be a little bit slow start also in '26 as we see it today within Industrial Solutions. But overall, once again, the message is that we see an improved demand in more or less all areas. We continue to see a margin improvement. We are step-by-step pushing up the margin. And as the volumes will kick in here during '26, we do expect a continued margin improvement if you look at the full year, if we now get the volumes as we see in the order books at the moment. We have substantial, as a lot of other companies, an adverse currency impact that we're reporting in Swedish kronas. Nothing strange with this, but it's something that we cannot really influence short-term. And we also note that we continue to do share buybacks at a level of roughly SEK 0.5 billion a quarter. So this is kind of the overall message for us from Q4 2025. And if we're then looking at the outlook in Page 26, we guide for kind of a similar demand in the first quarter of '26. Underlying, actually, we do expect continued good order intake, but we continue the deliveries in Industrial Solutions to be somewhat muted, which is then, let's say, bringing us up to that. It doesn't mean that it could be still a few percentage points up. But I mean, it means that we still believe, let's say, the organic growth in Q1 to be low single digit. And so that is kind of what we want to -- the message we want to send this. And then, of course, we all know that there is still somewhat turbulent geopolitical situation, which could influence this if something happens. But I mean, we cannot really prepare for that, but we are, of course, aware that there is kind of a little bit higher uncertainty than usual in the global arena at the moment. Turning to Page 27, agenda, Q&A and then quickly turning to Page 28 and opening up for questions.
Operator: [Operator Instructions] The next question comes from Chitrita Sinha from JPMorgan.
Chitrita Sinha: I have 2, please. So my first one is just on Industrial Solutions. I wanted to clarify on the underlying development given your comments on order intake being positive. So excluding the impact of the project deliveries, would the development in the quarter have been positive or still negative?
Peter Nilsson: It's been a positive. I mean we have a rather substantial effect from the project deliveries. And just to elaborate a little bit on that is also that we had a few -- we have actually a good order book, especially for LNG, but also for construction. But I mean the pipeline there is full. I mean the shipyards are full and they are kind of being delayed on a few of their projects, and that is impacting us that we cannot really get the deliveries as expected. I mean, going into the quarter, we had kind of deliveries, but then the customers wanted this to push us. And so we are not -- it's a tricky communication, of course. We still believe it's good markets, good order intake, good projects, but we see that a bit slow from the customers kind of accepting the orders. So if you exclude kind of LNG, this what we call infrastructure construction, harbors, tunnels in that segment, overall development is, let's say, clearly in the positive territory.
Chitrita Sinha: My second question is on the Sealing Solutions margin. So the margin declined obviously versus the Q3. So could you please just explain the moving parts sequentially? Was it primarily the mix? And then perhaps how you're thinking about reaching the 23% target from here?
Peter Nilsson: That is primarily, let's say, mix, to be honest, and especially driven that we have a slower sales in this, what we call the automotive aftermarket, which is kind of a high-margin business for us. And then we shouldn't neglect also we have M&A also kicking in. And then usually -- almost all the time, when we buy something, it's lower profitability than us, and it takes some time to get that to the right figures. And we -- I said it before, and of course, I understand the proof is in the pudding. But if we continue to deliver on organic growth levels as we've seen in this quarter, we will be seeing a fairly, let's say, quick upturn in the margin here. And we are confident going into '26 with the current order book and the growth we see in the order book and the growth in some of the more depressed segments like, let's say, construction equipment. We also have semiconductors, which is performing very well. I guess that is the main segments actually driving the positives here, while we're still -- surprisingly, we say, on the negative side, we are still automation, which will be slower than we kind of expected. But I mean, since this hydraulic what we call, let's say, fluid power segment is kind of the biggest in Sealing Solutions, and that segment is actually showing substantial positive growth in all geographical areas you say as well. And we must not neglect also in Sealing Solutions that we have continued very good development in aerospace. But also there, order intake is, if I say, substantially higher than the underlying sales. So that is we're building an order book and there will be an uptick, but then it's difficult to say exactly how much. The ambitions are very high on the customer side, but also there, we need to look at some carefulness, whether actually it will happen, but it will be a substantial growth in aerospace. It's more a matter of how much.
Operator: The next question comes from Vivek Midha from Citi.
Vivek Midha: My first question is on the TIS margin, quite solid despite the weaker organic growth. And you highlighted within that the positive mix effect. Historically, the project deliveries were perhaps a higher-margin business. Would you maybe be able to elaborate on what drove the positive mix effect in the quarter?
Peter Nilsson: I think -- I don't think overall, as a project business is higher deliveries. It's more that the cream -- with the cream on the top, if you say to that. So it's adding gross profit on top of everything. But overall, gross profit margin in that business is somewhat lower than the rest. So that is kind of also driving a positive mix in the quarter, you say a little bit lower project deliveries and higher in other areas. But also in Industrial Solutions, we've been investing quite a lot in the structure. We're moving factories, creating more efficiencies. So this is something which has always been happening in Industrial Solutions, and we continue to deliver an overall kind of cost improvement, which we now also -- so I say this improved margin is coming from efficiency improvements as a base. And then on top of that comes also some mix, which is basically higher sales in non-project-related businesses. But I mean, if we now -- with the current base, if you get project business on top of this, then, of course, we'll also drive the margin. But if you have, let's say, since the sales mix is changing somewhat, there is a positive driver in the margin. You follow me, Vivek? You follow the...
Vivek Midha: I do. I do. Understood. My second question is just going by region. You've highlighted European organic order growth improved relative to the third quarter. And we can see that in TIS, for example, in your commentary. It would be great to get some color on maybe the verticals which you're seeing improving within Europe. Is there anything you'd like to highlight?
Peter Nilsson: No. I mean I highlighted the biggest impact for us is this kind of construction equipment and Sealing Solutions, where we see an improvement, which is kind of more, yes, construction equipment a little bit actually surprisingly slightly better also in agriculture. We don't think that's going to continue really. I mean -- and also, of course, we need to note also in this overall kind of diversified industrial segments, we believe we've been exposed to some inventory downs throughout the year, and that is flattening. So we see the underlying demand is actually kicking in without any kind of inventory reductions on top of that. So that is also something that we are seeing and that is valid in most industrial segments in Europe, to be honest, where we see -- we don't see really. What we're waiting for is an uptick in residential construction, which is very much depressed. I don't say it's continuing down, but it's not really, let's say, moving upwards. So -- but overall, once again, the biggest -- if I should pick one segment looking at Fredrik, I think pick one segment, I think, is this construction equipment, fluid power, where we see an improvements coming both once again from a better underlying demand, but also from, let's say, no more inventory reductions.
Operator: The next question comes from Alex Jones from BofA.
Alexander Jones: Maybe first, just to follow-up on your answer on Europe. Do you see any subsegments where there's actually now restocking momentum? And or as you said, it's sort of just destocking has ended and you're now in line with underlying demand?
Peter Nilsson: We don't really see that at the moment, but we do kind of expect it. So that is also creating some confidence going into '26. We do believe, even though we don't really have a proof, I mean, we're following this VDMA, I trust you will look at the same. And if you referring VDMA, it's been kind of flattish now in inventory for a few months. And I mean, if the demand is picking up, which we do believe, then, of course, they're going to be a double up as there have been a double down. But we don't really see that -- we cannot see that -- we see that in the order book at the moment, but we kind of do expect it to happen throughout '26.
Alexander Jones: And then just on capital allocation, there were recently some press reports about a potentially larger deal in Italy. Can you just remind us how your pipeline looks and whether you feel ready for potentially another larger deal? Now it's a few years since Minnesota Rubber, if the right opportunity arose?
Peter Nilsson: Yes. But if you look at this Italian opportunity, which I mean talk bluntly, I mean, which is ALFAGOMMA. ALFAGOMMA is not of interest for us. That is a different segment, and we are not involved in that what they call hydraulic hoses, and we are not looking at that, just to be clear. So that is kind of not on our agenda. So we are still not looking at -- and it's also -- I mean, some of you asked about ContiTech it's neither, let's say, on our target list at all. So just to clarify that, we are not looking at that kind of deals. You're going to see us continuing to work on bolt-ons, which is kind of strengthening already strong positions. So we are not looking for any kind of new positions at the moment. We have plenty of opportunities within our current scope, which is kind of where you're going to see us spending both money and spending our efforts going forward.
Operator: The next question comes from Agnieszka Vilela from Nordea.
Agnieszka Vilela: I have 3 questions. The first one to maybe both Peter and Fredrik, actually. Can you talk about the development in your operating costs in the quarter? If we look at the gross margins, you had a fantastic performance with gross margin improving actually by 2.5 percentage points, but then much of that benefit almost disappeared in the OpEx line. So maybe you can discuss what was driving the admin cost expansion and other operating cost expansion?
Peter Nilsson: Fredrik, yes, please.
Fredrik Nilsson: Yes. No, but it's right that we have a good development on the gross profit. But then also there was, of course, some accruals needed for variable salaries and so forth throughout the end of the quarter here when we saw the performance. So -- and also, I mean, coming in some of the acquisitions that coming in come in with a little bit higher admin cost as well. So I think that's the 2 main explanations Agnieszka. But what you're pushing here Agnieszka is actually creating a solid foundation for us going forward. I mean this is kind of one of the -- how should I say, confidence factors that you see here that we're pushing up. We managed to increase both the contribution margin and the gross profits, which, of course, is much easier to cut cost and to increase pricing, to be honest. So that is of course something which is on our agenda.
Agnieszka Vilela: And then, Peter, maybe a bit on that topic. I mean, you guide for flattish sequential demand development in Q1 specifically, and you also allude to Industrial Solutions here. But overall, when you look at 2026 and your priorities as a CEO, would you say that you kind of try to position the company now for more growth or still kind of more stability and cost containment as you look at 2026 in total?
Peter Nilsson: It's, of course, never one priority, Agnieszka. It's several priorities. But I mean, we create -- we have a good platform. You said we're moving the gross profits up. We are getting an improved mix. There is still something to do with the cost, but we have the structure in place. So of course, we are gearing up to absorb more growth, and we do expect that to kick in '26. I mean we do expect kind of a better second part of '26 than the first part of '26 on the backing of good order intake and good activity with the customers. And we do have solid cost control. We do have, let's say, good activities ongoing to further address this, what we call more the fixed cost part of it. So overall, it's a combination of maintaining cost control, getting more efficiency. But most important probably is -- most important is to continue to get into a growth mode and absorb this kind of high order book as we move throughout '26.
Agnieszka Vilela: And then the last one for me on Medical specifically. So your Medical business grew organically by 6% in '25. Can you give us any kind of expectations or flavor on the expected growth in '26 also considering that now you have more capacity in Costa Rica that you could use. So could you comment on that and maybe also on any puts and outs when it comes to profitability for Medical in '26?
Peter Nilsson: I mean we have, let's say, it's still -- I mean, how do I say? It's still a smaller part of Trelleborg and it's still, let's say, a little bit volatile. So you say -- and we're looking at the rolling 12, we are happy with the 6% if you look at the full year. Still might be a little bit bumpy. We don't take that as a guidance that we expect it to really go down, but it might be bumpy still in between the different quarters because we are exposed to some bigger deliveries and the customers are somewhat, how should I say, the volatility in the ordering is still there. But overall, we have said, let's say, this 5% give, let's say, plus/minus. I mean that is where we feel this business will continue to grow, and that is where we do expect to grow. We have a better setup. Costa Rica will create benefits. But I mean, not really the biggest benefits of that will not happen in '26. It's probably beyond '26. But there is kind of solid foundation for growth both in Asia, in North America and Central America. And I mean, to be very open and blunt, I mean we'll be looking for how to get more also into Europe in this. So that is really the target today. We have a good Asian footprint with Australia, China, primarily looking a little bit to Southeast Asia, whether we need a satellite plant there also to support our customers in that part of the world. Americas is great. The Americas has a good footprint. So we feel confident that the kind of overall positioning of Medical Solutions is good, and we do expect that to continue to deliver good growth for several years to come.
Operator: The next question comes from Hampus Engellau from Handelsbanken.
Hampus Engellau: Two questions for me. Just on Sealing Solutions, I was a bit curious here. You have 5% organic growth, and you've been searching for growth to like extrapolate synergies with Minnesota. Are Minnesota now not diluting the business area's margin and much of that kind of hampered leverage during the quarter. Is that related to what you highlighted, the negative sales mix within automotive aftermarket business? Or how should I think about that?
Peter Nilsson: I mean it's still -- I mean, the North American business is slightly lower than European to be overall, but I mean, it's not really deteriorating to the overall Americas business. As U.S. is getting a little bit bigger. There is a slight negative mix still even kind of beyond the integration of Minnesota. But now as we do expect volume to kick in, we do expect the margin there to improve. But I cannot say that Minnesota is kind of, in itself, is the main explanation on kind of pushing down the margin in any way. It's been integrated and we're now starting to see the benefits in the order book, and it will get better as the volumes kick in. I don't know whether that, Hampus is clarifying or...
Hampus Engellau: Yes, yes. I think that's a more flavor for my modeling. And then on Industrial, the project business, is -- do you dare to say like when that should kick in? Should we expect like a catch-up effect like Q3, Q4? Or are you still like waiting to see when that will materialize?
Peter Nilsson: We expect -- I shouldn't say there's been a disaster in Q1, but I mean it's not going to kick in. We do expect it to kick in, in Q2, Q3, Q4. Once again, it's backed by a solid order book, and we are not kind of concerned about it. It's more that -- of course, I understand you're looking at individual quarters. But for us, honestly, whether the deliveries is in March or April, I mean, we don't really care because we are -- we want it as early as possible, but important for us is to get the orders and to get that into when we have a solid order book, and we are also, I should say, pushing the margin up. So we are confident that it's more a matter of when the delivery actually will take place. So we are more, let's say, confident on this one. I mean -- but it will be a kind of a solid second half of the year compared to the first half of the year. That is the way we look at it at the moment. While then commenting on that, I mean, it's still a relatively small part of Industrial Solutions. So the overall Industrial Solutions will continue to perform well and some of that will benefit from this overall, let's say, improved industrial demand as well.
Operator: The next question comes from Timothy Lee from Barclays.
Timothy Lee: My first question is again on the order intake. When you say you are building order book, can you give us a little bit color on what's the book-to-bill that you're achieving in the fourth quarter and especially for the Industrial Solutions segment?
Peter Nilsson: We don't want to give any -- we have decided not to report order book, but I mean it's, let's say -- how should I put it? I mean it's still, let's say, mid-single digit, let's say, above. So let's say, we talk about this, let's say, above 100%, mid-single-digit growth on the order book compared to the sales.
Timothy Lee: And then when you comment on the first quarter outlook, when you said about the low single-digit organic growth, is it something that you have already factoring in the Industrial Solutions for what that you just comment the delivery is probably not going to happen in the first quarter?
Peter Nilsson: [indiscernible] do you mean that I mean for Industrial Solutions in Q1? Is that what your question is?
Timothy Lee: You mentioned about the first quarter organic growth is probably at a low single digit, right?
Peter Nilsson: Yes.
Timothy Lee: And is that...
Peter Nilsson: Overall. Overall, yes, overall for the group.
Timothy Lee: Yes.
Peter Nilsson: Not specifically for Industrial, we're not guiding --
Timothy Lee: Yes.
Peter Nilsson: -- let's say, any kind of organic growth per business area really.
Timothy Lee: Yes. Yes, that's right. But then that number is already factoring in the fact that the delivery in the Industrial Solution is not going to happen?
Peter Nilsson: Yes. Yes, correct. Correct. I mean if that's the case. So we gave a guidance is for the overall Trelleborg and not for the individuals. So it still might be -- if you may say, it still might be negative in Industrial Solutions, but then that's going to be, let's say, covered by continued good growth in other areas.
Timothy Lee: Yes. Understood. Very clear. And I have one more question on share buyback. I think last year, we have a share buyback program, which is a scaled down from the previous buyback level, about SEK 500 million per quarter under the current program. Do you have any color at this point in time regarding what to do with this buyback program when it comes to renewal probably in April this year?
Peter Nilsson: Yes. I mean, the current guidance is to continue in the same way. There's no thoughts on changing it. So the current kind of guidance or the current decision, which will also -- yes, most likely will be the proposal for the AGM is that continues in the same way.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Peter Nilsson: Thank you. Thanks all of us for listening in. Let's say, a solid quarter for us, it looks actually slightly better than maybe the figure shows, good order intake and solid cost control and then a solid foundation for '26 as we see it. So keep in touch and speak to you soon and see you in various -- or see and meet in various ways. So do take care. See you soon.